Operator: Thank you for standing by. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to the Welltower First Quarter 2024 Earnings Call. [Operator Instructions] 
 I would now like to turn the conference over to Matt McQueen, General Counsel. You may begin. 
Matthew McQueen: Thank you, and good morning. As a reminder, certain statements made during this call may be deemed forward-looking statements in the meaning of the Private Securities Litigation Reform Act. Although Welltower believes any forward-looking statements are based on reasonable assumptions, the company can give no assurances that its projected results will be attained. Factors that could cause actual results to differ materially from those in the forward-looking statements are detailed in the company's filings with the SEC.  
 And with that, I'll hand the call over to Shankh for his remarks. 
Shankh Mitra: Thank you, Matt, and good morning, everyone. I'll review first quarter business trends and our capital allocation priorities. John will provide an update on the operational performance of our senior housing and outpatient medical portfolios. Nikhil will give you an update on the investment landscape. And Tim will walk you through our triple-net businesses, balance sheet highlights and guidance update.  
 I'm very pleased with the strong start to the year as we delivered nearly 19% year-over-year growth in FFO per share with contributions from all parts of our businesses, but I remain particularly excited about our senior housing business, which continues to surpass our expectations. 
 Despite continued uncertainty with respect to the direction of the economy and turbulence across many sectors within commercial real estate,  the demand supply backdrop for senior housing gets better with each passing day. We, along with our operating partners are proud yet humbled to provide an important solution for the rapidly growing number of seniors who make the choice to leave in a curated and purpose build environment. And while this demographic driven end market demand continues to strengthen, the new construction remains extraordinarily difficult, pushing off any impact of new supply many years into the future. 
 In terms of our Q1 results, we posted another quarter of double-digit same-store revenue growth coming in 10.3%, driven by strong occupancy and rate growth. While Q1 is usually a seasonally weaker period than Q4, same-store occupancy grew 340 basis points year-over-year basis, which represented an improvement from Q4. This is the strongest growth we have seen in our history other than Q1 of 2022, when the comp year was a negative number as we lost occupancy in Q1 of 2021 due to COVID.  
 We also saw outperformance on the rate side. Reported same-store RevPOR or unit revenue growth of 4.8% was dragged down by the leap year impact of an additional day in February, However, adjusting for this extra day, RevPOR growth remained strong at 5.6%. Overall, same-store expenses were up 5.7%, and unit expense or ExpPOR was up 0.4% driven by same-store compensation expenses up 5.4% or just 0.1% on an occupied room basis. Reported ExpPOR was understated because of the leap year impact and otherwise would be up 0.9%.  
 Regardless, we are very pleased with the underlying trends as unit revenue growth far outpaced unit expense growth resulting in another quarter of significant margin expansion. And this combination of strong revenue and moderating expense drove same-store net operating income growth of 25.5% marking  of the strongest quarter in our history. This growth was broad-based with all 3 regions posting year-over-year same-store NOI growth in excess of 20% with growth in the U.K. reaching nearly 50%.  
 From a product standpoint, our independent living and wellness housing portfolios delivered another quarter of extraordinary growth. but our assisted living continued a streak of strong outperformance. And as for our non-same-store pool, we're even more pleased with the performance of these assets as numerous properties we transitioned within past year have seen a strong improvement in performance, while some recent acquisitions have also outperformed. 
 We continue to mine for opportunities within our own portfolios to effectuate farther triple-net to RIDEA conversion or of operator transition in an effort to enhance the resident and employee experience, where we believe financial performance will eventually follow. 
 We are confident that this informational feedback loop created through this continual focus on employee and customer is a long-term driver of lower risk and superior operational returns. We don't always get the community and the manager combination right in the first go, but it is our responsibility to try again. Status quo is not an option for us. 
 Speaking of conversions, I'm pleased to inform you that we are in process of converting 8 additional well-located communities from triple-net to RIDEA. Despite short-term drag, we believe this action will be significantly additive to our full cycle stabilized earnings as we have demonstrated in our recent transaction with Legend. These capital-light transactions and others similarly made in 2023 will create significant growth for us in '25 and beyond.  
 Speaking of transactions, the capital markets backdrop remains very conducive to deploying capital. Since the beginning of the year, we have closed or under contract to close $2.8 billion of investments across 23 separate transactions, including $1.1 billion, which we spoke to in February, mostly made up of the Affinity transaction. 
 These investments are predominantly with our repeat counterparties or existing operators. As excited as we are about this record level of activity in just first 4 months of the year, we remain incredibly busy parsing through granular opportunities in both the U.S. as well as the U.K.  
 Our near-term capital deployment pipeline remains robust, highly visible, actionable and squarely within our circle of confidence where we can bet with the house odds rather than the gamblers' odds. As rates and credit space continue to march higher, our telephones are ringing off the hook as we are requested to provide solutions to institutions, families, operators and other sellers. 2024 will be a very active year for us. 
 While I wrote extensively about our apathy towards entity-level M&A transactions in our -- in my annual letter, our enthusiasm remains unbridled for tuck-in acquisitions one asset at a time, while we can invest at an attractive basis with operational upside and irreplicable uplift from Welltower's operating platform. 
 As we have said in the past, our goal is to achieve significant regional density seeking to grow deep in our market, not broad. And with the help of our data science platform Alpha, we're able to identify one asset at a time, which not only have the strongest growth prospects but also the strongest fit to our portfolio. 
 Though we occasionally come across sellers who are disconnected from asset value as they appear to be living in a time capsule of yesterday's interest environment are simply hoping that we'll be back there soon. Many more pragmatic and smart institutions and families realize that perhaps hope is not a strategy, especially in face of a looming wall of debt maturity for the industry and [ data ] financing options. We continue to provide solutions to counterparties who want a sophisticated and reliable partner who shows up at the closing table without a fail with cash and operating partners. We at Welltower are in a handshake business and will remain so.
 Our stellar reputation is much more valuable to us than a few basis points here and there that we may leave on the table. After all, our NorthStar remains long-term compounding of par share value of our existing shareholders not to maximize the deal [ for  ]a quarter. In the end, time is the friend of wonderful companies that compound and the enemy of the mediocre. 
 With that, I'll pass it over to John. John? 
John Burkart: Thank you, Shankh.. Momentum that continues to build in our business through 2023 has carried into the early part of this year, as reflected by our strong first quarter results. Our total portfolio generated 12.9% same-store NOI growth over the prior year's quarter, once again, led by the senior housing operating business. 
 First, I'll comment on our outpatient medical portfolio, which remains very stable, producing year-over-year same-store NOI growth of 2% for the first quarter of 2024. Leasing activity remains healthy, and our retention rate once again exceeded 90% leading to consistent and industry-leading same-store occupancy of nearly 95%. The full year same-store NOI guidance is unchanged between 2% and 3%. 
 As for the senior housing operating portfolio, our results remain impressive. The 25.5% first quarter year-over-year same-store NOI increase represents the sixth consecutive quarter, in which growth has exceeded 20%. Our top line growth came in at 10.3%, driven by strong occupancy growth of 340 basis points and strong rate growth of 480 basis points. All 3 of our regions continue to show favorable same-store revenue growth, starting with Canada at 9.1%, and the U.S. and the U.K. growing at 10.1% and 14.8%, respectively. Additionally, expense growth continues to moderate, up 5.7% year-over-year with the broader inflationary pressures continuing to abate. 
 In terms of labor-related trends, we've not only seen broader macro pressures continue to ease, but also our various property and portfolio level initiatives have been paying off. For example, by creating greater regional density within our senior housing portfolio, employees are able to fill open shifts at other regional properties, reducing the usage of agency labor and improving the overall customer experience. 
 Regional densification also creates more opportunities for career progression and lower turnover as employees can take increasing levels of responsibility at different properties managed by the same operator in the same region. And equally important, through the build-out of our operating platform, we're beginning to create efficiencies, which will allow for more time to be set on resident care, improving the customer experience, reducing the administrative burden and related stress on site employees. 
 Shifting back to the quarter, we reported 320 basis points year-over-year improvement in margins as unit revenue growth continues to solidly outpace unit expense growth. While NOI margins are below pre-COVID levels, the significant operating leverage inherent in our business and benefits of our operating platform should allow for multiple years of further margin expansion ahead. This year is still young, with peak leasing season ahead of us, but we remain encouraged by the start of this year. Ultimately, our Q1 numbers speak to the great work that the entire team is doing. 
 We are relentlessly focused on improving the customer experience and employee experience and we'll continue to pursue operational excellence. Thank you, Team Welltower, including our operators, WellTower employees and vendors. 
 I'll now turn the call over to Nikhil. 
Nikhil Chaudhri: Thanks, John. Before speaking to our recent investment activity, I wanted to share some high-level market observations. As we have indicated before, we are in a unique environment in which business fundamentals are very strong, and at the same time, the opportunity to deploy capital remains extremely compelling. 
 In large part, this backdrop is a function of the challenged seniors housing debt, which sits on the balance sheet of the largest lenders in the space. While we have previously spoken about the $19 billion of seniors housing debt maturing this year and next, a deeper look into the performance of these loans is helpful. 
 A great case study is Fannie Mae's senior housing debt book, with a total outstanding principal balance of $16 billion. It's worth noting that borrowers typically seek out agency financing upon stabilization. And so a vast majority of these loans are for assets that were previously stabilized at some point. Of these $16 billion of loans, $5.9 billion are subject to floating rates. But despite that, 44% or $7 billion of Fannie senior housing book is considered criticized, suggesting loans with high risk of default. 
 In addition, over $1.1 billion of loans are more than 60 days past due. While the agencies are the lender of choice for stabilized product, borrowers typically seek out banks for riskier development and lease-up bridge loans. Unlike agency loans, these loans are almost always based on floating rates and have shorter durations. 
 While granular information is hard to find on the status of these loans on bank balance sheet, it wouldn't be unreasonable to assume that at least a similar percentage or almost 50% of the $20 billion plus senior housing loans on bank balance sheets are showing similar distress. In fact, as I listened to first quarter earnings call, several regional banks that have historically been among the most active in the seniors housing space, I heard a consistent theme of concerns about their sector exposure and the desire to reduce it. This is not surprising given the poor performance of these loans over the last 5 years. 
 Given the staggering level of maturing and underperforming loans, current borrowers are left with tough choices. On one side, borrowers can capitulate and accept the ultimate downside of losing a significant portion or perhaps even all of their equity. On the other side, for those with staying power and the right set of incentives to continue to come out of pocket for incremental capital to service and rightsize the debt load with the hope that some combination of continued improvement in asset level performance and a reversal in the trajectory of interest rates will allow them to achieve a meaningfully better exit value over time. 
 Perhaps unsurprisingly, with inflation showing signs of reacceleration over the last few prints and interest rates rising, the hope trade for a quick reversal in the trajectory of interest rates is dwindling and counterparties are coming back to us in droves with the hope of achieving an outcome somewhere in between the 2 extremes I just highlighted. 
 Given our reputation of being solutions-oriented and creative dealmakers that honor our original price through the course of the transaction, we continue to be the counterparty of choice for motivated sellers, seeking surety of execution and continue to engage with repeat sellers on follow-on transactions. 
 During the first quarter, we completed gross investments of $449 million, comprising $241 million of development funding and acquisitions and loan funding of $208 million, comprised solely of seniors and wellness housing property types. We acquired 3 senior housing communities with an average age of 8 years for $158,000 per unit. We also received repayments of $36 million across 3 outstanding loans over the course of the quarter. 
 In addition to the transactions closed in the first quarter, we are currently under contract or have closed on $2.6 billion of gross investments across 15 different transactions spanning 146 properties across the U.S., U.K. and Canada. These transactions have a median value of $37 million. As Shankh mentioned earlier, we are sticking to our mantra of building regional density through focused and granular transactions, and continue to grow with operators that are producing strong results for us in these markets. 
 Our recent activity includes incremental new business with our partners at Oakmont, Cogir, Sagora, Discovery, Liberty, LCB and Healthcare Ireland to name a few. I'll end by extending a warm and heartfelt thank you to our best in business investment team located across our offices in Dallas, L.A., London, New York, Toledo and Toronto. We have been fortunate to be able to hire, train and retain the brightest young minds from leading universities across the country year in and year out, while many other competitors eliminated or drastically reduced their teams during COVID. 
 We had the foresight to plan the seeds of talent many years ago and are now able to enjoy the fruits from the trees that has since grown. While on one hand, the work at Welltower is incredibly challenging, fast pace and perhaps never ending. On the other hand, I believe that the training, opportunity, autonomy and accelerated career growth are unparalleled. The dedication, thoughtfulness and integrity exhibited by the professionals on our team is all inspiring. I couldn't be more proud of our team or more excited about the opportunity ahead of us. 
 I'll now hand the call over to Tim to walk through our financial results. 
Tim McHugh: Thank you, Nikhil. My comments today will focus on our first quarter results. The performance of our total investment segments, our capital activity, a balance sheet and liquidity update, and finally, an update to our full year 2024 outlook. 
 Welltower reported first quarter net income attributable to common stockholders of $0.22 per diluted share and normalized funds from operations of $1.01 per diluted share, representing 18.8% year-over-year growth. We also reported total portfolio same-store NOI growth of 12.9% year-over-year. 
 Now turning to the performance of our triple-net properties in the quarter. As a reminder, our triple-net lease portfolio coverage and occupancy stats were reported a quarter in arrears. So these statistics reflect the trailing 12 months ending 12/31, 2023. In our senior housing triple-net portfolio, same-store NOI increased 3.8% year-over-year and trailing 12-month EBITDA coverage was 1.02x, which marks the first time this coverage has moved above 1x since the pandemic began impacting the segment. 
 Next, same-store NOI and our long-term post-acute portfolio grew 3.1% year-over-year and trailing 12-month EBITDA coverage is 1.23x. Staying with the long-term post-acute portfolio, the Integra Healthcare JV entered our same-store pool and coverage metrics this quarter. As a reminder, the 147 properties were put into a master lease in 4Q 2022 and the individual assets will then transition to local and regional operators over the following 5 quarters. The entire master lease enters the same-store pool this quarter while the individual assets will enter the rent coverage metrics as they complete 5 quarters of operations under their respective operators. 
 In Q1, 95 of the 147 assets entered our coverage metrics with trailing 12-month EBITDARM and EBITDAR coverage of 1.58x and 1.13x, respectively. As we've noted on previous calls, the Integra portfolio experienced continuous upward trend in cash flow over last year, as reflected in the trailing 3-month EBITDARM and EBITDAR coverages for these 95 assets at 2.23x and 1.74x, respectively. As we move through the year, the rolling forward of last year's positive operating recovery as well as the addition of the remaining transition Integra assets into coverage pool, should lead to a continual upward trend in our coverage metrics throughout 2024. 
 Turning to capital activity. As Nikhil just walked us through, we have $2.8 billion of closed or announced investments year-to-date, inclusive of the Affinity transaction announced last quarter. In the quarter, we continue to fund investment activity via equity issuance, raising $2.4 billion of gross proceeds at an average price of $91.22 per share. This allowed us to fund investment activity, along with the extinguishment of approximately $1.5 billion of debt in the quarter, including $1.35 billion of senior unsecured notes and ended the quarter with $2.5 billion of cash and restricted cash on the balance sheet. 
 Staying with the balance sheet. On the third anniversary of our COVID leverage maxing out in the mid-7s ex-COVID relief funds in the first quarter of 2021, [ rented ] this quarter at 4.03x net debt to adjusted EBITDA. And we expect to end the year at a target leverage of approximately 4.5x net debt to EBITDA implied by last night's full year guidance update. 
 Consistent with past commentary on the balance sheet, I want to underscore that while our key credit metrics are at historical levels, over half of our NOI is represented by senior housing operating portfolio, which currently sits at just 82.5% occupancy, with NOI still well below pre-COVID levels. As NOI recovers back to pre-pandemic levels, the meaningful recovery in cash flow is expected to drive debt-to-EBITDA below 4x from projected year-end 2024 levels, further enhancing our financial position and access to capital. 
 Lastly, as I move on to last night's update to our full year 2024 guidance, I want to remind you that we have not include any investment activity in our outlook beyond the $2.8 billion to date that has been closed or publicly announced. Last night, we updated our full year 2024 outlook for net income attributable to common stockholders to $1.48 to $1.61 per diluted share. And normalized FFO of $4.02 to $4.15 per diluted share or $4.085 at the midpoint. 
 The incremental increase of $0.065 from prior normalized FFO guidance per share at the midpoint, is composed of $0.03 from an improved NOI outlook in our senior housing operating portfolio and $0.055 from accretive investments and financing activities, offset partially by $0.01 from higher G&A expectations and $0.01 of near-term drag due to a triple-net [ through day ] conversion. 
 Underlying this increased FFO guidance is an increase in estimated total portfolio year-over-year same-store NOI growth to 9% to 12%, driven by subsegment growth of outpatient medical, 2% to 3%; long-term post-acute, 2% to 3%; senior housing triple-net, 2.5% to 4%. And finally, senior housing operating growth of 17% to 22%. The midpoint of which is driven by revenue growth of approximately 9.2%, made up of RevPOR growth of approximately 5.25% and year-over-year occupancy growth of 290 basis points and total expense growth of approximately 6%. 
 And with that, I will hand the call back over to Shankh. 
Shankh Mitra: Thank you, Tim. While we are very pleased with our execution thus far in the year, we're on the cusp of all important summer leasing season. So let's see what the market gives us. And while we are proud of our recent operating results we have reported, it's important to recognize that it's not by happenstance. This is not a commodity business with a narrow range of outcomes. 
 Our results are a function of capital allocation and portfolio management decisions of yesterday. To paraphrase buffet, someone is sitting in the shade today because someone planted a tree a long time ago. Similarly, capital allocation decisions of today will drive operating performance tomorrow. 
 So even after nearly $15 billion of capital that we have deployed since the depth of COVID and hundreds of communities undergoing operator transition, we still have our hands full to optimize location, product, price point and operators on the asset side of the balance sheet. 
 On the liability side, under Tim's leadership, we're absolutely hitting it out of the park. A sharp improvement in cash flow, coupled with our recent capital raising efforts, has driven a net debt to adjusted EBITDA down to 4x, which represents the lowest level in our recorded history. In the very short term, we maintained significant dry powder with over $6 billion of total near-term liquidity to pursue attractive capital deployment opportunities and fund other near-term obligations.
 In the medium term, we have built significant debt capacity to take advantage of when we eventually get to the other side of the Fed cycle and still maintain an extremely strong balance sheet. Said another way, we don't believe that one's balance sheet should be viewed as an object of vanity, but instead as a countercyclical tool to prudently tap into to drive par share growth. 
 Our balance sheet was one of the 5 pillars of growth, which I articulated during our last call. And while I won't repeat all the 5 of those pillars today, I'll just reiterate that our confidence in delivering outsized levels of our share growth to our existing shareholders remain as strong as ever. And while we are fortunate to have a strong multi-decade tailwind at our back, just note that we will not settle for the beta of the business, and instead, we are committed to creating significant Alpha again for our existing shareholders with a years of compounding growth ahead of us. We appreciate your support. 
 With that, I'll open the call up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Ronald Kamdem of Morgan Stanley. 
Ronald Kamdem: Great. Just starting with the SHOP guidance range -- guidance rate almost 20%. Looking at the assumptions, it looks like the occupancy and RevPOR assumptions haven't really changed, and it was really sort of same-store expense driven. So I was just wondering if you could comment on some conservatism is baked into that? And any early indication in the peak leasing season? 
Shankh Mitra: Ron, as we have indicated, this is too early in the year. Just as you know, our annual results will be pretty much defined by what the summer leasing season gives us. You know we have -- though while we're pleased with what we have seen in the year, there's this healthy level of paranoia in our team. We don't know what the market will give us. We'll report to you. 
 Our promise to you remains that we'll get more than our fair share of the market, but we need to see what the market gives us, and we'll update you in 90 days, and we'll see where we land. Thank you. 
Operator: Your next question comes from the line of Vikram Malhotra of Mizuho. 
Vikram Malhotra: Maybe, Shankh and Tim, just -- can you just talk about perhaps your outlook for underlying FAD growth. FFO was strong, but FAD growth was even stronger in the quarter. Just how do you see FAD trending? And if you can dovetail that into the dividend, your coverage is very, very healthy. So I'm just wondering how do you use those free cash flow proceeds or perhaps even grow the dividend. 
Tim McHugh: Yes, Vikram. On the FAD side, we've had an ongoing conversation around this just FAD growth. And we continue to focus on the long term. On the CapEx side, growing an internal or internalizing our capital management team and growing that team has been a main initiative over the last 1.5 years. And so as we've done that, we've continued to identify value-add projects, it's really attractive basically returns. And so CapEx, probably a bit elevated here from a long-term run rate. But is helping drive cash flow alongside of it. And as long as we continue to see those opportunities, we'll continue to put capital to work. 
 On the dividend part of the question, I'll start, and I'll let Shankh add anything. But when we cut the dividend at start a COVID, we referenced cash flow as being the main driver of our dividend policy. And so that hasn't changed. And so as we sit here today, not only is cash flow recovered pretty meaningfully from the COVID lows. So too is our confidence around the ongoing recovery in senior housing, and that was reflected with our updated guidance last night. So consistent with past commentary on the topic and our current financial position, you should expect that our current dividend policy is something we're actively discussing with our Board of Directors. 
Shankh Mitra: I have nothing to add to that. 
Operator: Your next question comes from the line of Nick Yulico of Scotiabank. 
Nicholas Yulico: Just a 2-parter here on the acquisitions. In terms of the $2.6 billion, closed under contract. Can you give us a feel for the first year stabilized yield -- sorry, first year yield and then ultimate stabilized yield expectation. And then -- is any of the distress in the market or the higher interest rates pushing up yields on new investments?
 And then just in terms of the funding, so I just want to be clear. It seems like you've already sort of raised the equity to fund that pipeline. But going forward, how should we think about an equity versus debt mix for additional investments since you do seem under-leveraged right now? 
Tim McHugh: Nick, I'll take the first part. So on the $2.6 billion, it's 100% senior housing and wellness housing. And if you look at the spot capital markets environment today is very similar to what it did in the fourth quarter as interest rates had run up, so we'll provide more disclosure next quarter as these transactions have closed, but you can expect the return profile to look very similar, both in terms of going in and stabilized yield as what we had in the fourth quarter. 
Shankh Mitra: Yes. Nick, you are correct that we have raised capital to close, obviously, all the transactions. I want to make sure that you understand that, that $2.8 billion that we spoke of is not our pipeline, it's the deals that have closed or under contract to close. Our pipeline is beyond that, and it remains a very robust pipeline. That we think are very near-term actionable, we'll see where we end up. But that's sort of our view. Speaking of -- I absolutely subscribe to your view that we remain unleveraged.
 Our goal is to maximize our stabilized our full cycle earnings. And as I mentioned that you should fully expect us to use the balance sheet liability side of our balance sheet to drive significant additional part share growth on the other side of the Fed cycle. 
Operator: Your next question comes from the line of Austin Wurschmidt of KeyBanc Capital Markets. 
Austin Wurschmidt: With respect to senior housing operators that have changed their strategy by pushing back the annual rent increases into the earlier part of the key selling season, I guess, how does that trend appear to be playing out so far from a retention perspective? And would you expect that benefit to potentially flow through to new lease rate growth? 
John Burkart: Yes. So as it relates to the increases that are going out, there really hasn't been pushback. People understand what's going on in the cost side of the business. They appreciate the value proposition and so that has been going very smoothly. As it relates to market rents, again, we're seeing robust demand out there. So it's -- the 2 are related in the sense of -- obviously, the market drives the overall economics, but the -- it's not that renewals drive the market. The market drives the renewals at some level, and the market is strong. Supply-demand fundamentals work very well and the value proposition is there. 
Operator: Your next question comes from the line of Jonathan Hughes of Raymond James. 
Jonathan Hughes: On the increased expected headcount spending this year, can you talk about the investments being made in the analytics and/or operations team and the scaling potential to address the capital deployment opportunities? 
John Burkart: Yes. As it relates to the ops team, we are finding tremendous opportunities to build out that team and do things more effectively more efficiently than are currently being done. That's simply a surprise that we can bring operational excellence at our size. And so we continue to lean into that. We're finding that really throughout each of the areas that I'm involved in as it relates to investments [indiscernible]. 
Nikhil Chaudhri: Yes. I think, Jonathan, if you think about the sheer number of transactions that we do, but beyond that, everything we look at we can humanly impossible to do that without having incredible tools, right? So that's what -- and you've seen a lot of this, but the tools and the capabilities on our analytics team are the only reason what we do. And so they are an integral part of every step of the investment process from a pretty screen to shift through hundreds of buildings to them be able to predict the stabilized NOI for each building under different operators and find the right operator for those buildings. It's integral to what we're doing. So all the investments that we've made are paying off in space. 
Operator: Your next question comes from the line of Juan Sanabria of BMO Capital Markets. 
Juan Sanabria: I just wanted to ask around the senior housing portfolio that non-same-store pool that Shankh mentioned was doing well. Just curious how many of those -- I think it's nearly 150 assets are in the transitions bucket, not in same-store, will be added over the course of the year. And how are those faring relative to the same-store pool? And should we expect those to be additive to growth as those are folded into same-store? 
Shankh Mitra: One, the -- a lot of these early transitions will eventually come into after 5 quarters. So depending on when they were done, they will come towards the end of the year. you should expect strong growth from them, whether they will be additive or not, it's too early to say. Probably, there will be similar growth or they will add to the growth. But it depends also -- remember, they're coming up with strong overlapping strong quarters behind them as well. What was the other part of your question, Juan that I missed? 
Juan Sanabria: That was essentially it. 
Tim McHugh: Juan, just on the kind of numbers there, the 159. So the Canadian assets that have transitioned, there's about 62 of those in our transition portfolio. Those transition in the fourth quarter. Those will be -- those will come back in '25, the majority of the rest of them come into the pool of '24. 
Operator: Your next question comes from the line of Michael Griffin of Citi. 
Nicholas Joseph: It's Nick here with Michael. You touched on what's happening on the bank side and on the lending side, but also on kind of the long-term drivers and the supply-demand imbalance. So I guess, are you seeing more capital that you're competing with for some of these deals, get more interest in the space? And I guess on the flip side, just on development, obviously, we haven't seen starts bounce back, but are you starting to see anything from a planning stage or any green shoots of supply starting to at least be contemplated? 
Nikhil Chaudhri: Yes. Nick, I think the answer to both of those questions is a simple, no. We haven't seen any new capital come into the business. And there's really not much capital out there that is not reliant on the debt market. And the debt markets are just completely [ open ], and then we expect them to continue to be focused for the foreseeable future. And that obviously plays into the development cycle as well. So we've actually seen the opposite rather than folks take on new predevelopment and new potential projects, folks are giving us on products that they're previously pursuing, disbanding teams and all of that. So to answer your questions. 
Operator: Your next question comes from the line of Joshua Dennerlein of Bank of America. 
Joshua Dennerlein: John, I wanted to follow up on a comment you made on the operating platform and how a big part of the strategy is to create efficiencies to reduce the admin burden and put more time into care. I was hoping you could elaborate on where you are in building out this capability. And just in general, just provide more color on this aspect of the operating platform. 
John Burkart: Yes, absolutely. I would rather quite honestly about it, we're getting very close. There's not a lot of detailed updates to give other than we're right on plan right now. As it relates to the types of savings we expect and that we're identifying pretty substantial when you look at how a person starts as a prospect and move through the process ultimately into the community reducing the paperwork pretty dramatically, reducing the repetition of input of information because the system is a singular unified system. And so all of that reduces errors. It reduces wasted admin time and really enable senior people like the nursing teams, like the executive directors and others and sales teams to really focus on their job and leverage technology to drive value there. 
Operator: Your next question comes from the line of Michael Carroll of RBC Capital Markets. 
Michael Carroll: I guess, John, sticking with you, can you provide some color on the performance of the Cogir, PLR portfolio in Canada? I mean how has that relationship worked so far? And are there plans or discussions to kind of create new PLR relationships to kind of build off of the structure in different parts of the market? 
John Burkart: Yes, I'll start with the broader question as far as plans for broader PLR, our focus is and always has been to drive value from a customer employee perspective and, of course, from a shareholder perspective. So it's not the process to say, let's create, a bunch of those types of partnerships. The objective is to drive value. In this case, the value is substantial. Our partner, Cogir and my partner, Frederick, are fantastic to work with. That is doing very, very well. The assets have embraced Cogir -- the teams have embraced Cogir and Cogir management -- and we're very satisfied and appreciative to all the work that is being done there. 
 Our expectations of that portfolio will perform fantastically this year. Of course, this transition has occurred during the quiet period. So it's not a lot of activity as it relates to leasing. It's just starting at this point in time up in Canada. 
Operator: Your next question comes from the line of Jim Kammert of Evercore. 
James Kammert: It looks like there's some real standouts on the senior housing side among your larger operators in terms of in-place NOI contributions. I mean, Sunrise was up 30% sequentially, Oakmont 11%, StoryPoint 19%, et cetera. And John, you speak to sort of the benefits of densification and regional operators, was such gains in the NOI really driven more by that, do you think in best practices? Or was this more of a cyclical episodic each portfolio in terms of NOI advances traditional occupancy, et cetera gains? 
Shankh Mitra: We're not going to give on specific operator-level performance on this call, which we never do. I'm not going to start that today. We'll tell you that it was a very broad-based outperformance from all of our operators, across 3 regions. And obviously, that's not -- as I said, is a happenstance, right? Some of the operating partners, you mentioned have done terrifically well for us over a long period of time, and that continues. But this is a very deliberate strategy that we put together years ago to go deep and not go broad. And that's as we continue to double down on this strategy.
 And John gave several examples of that, that plays out, whether that's on the employee retention side, their long-term career and others. And that's also true, we can give you several examples how that plays out, obviously, on the revenue side where customers have different options within a close proximity to each other, right? So at the end of the day, that's what we are trying to do. We believe, as many of us mentioned on the call, that great customer and employee experience eventually drive great financial results. And we continue to double down on the simple strategy. 
Operator: Your next question comes from the line of Michael Mueller of JPMorgan. 
Michael Mueller: Tim, a quick question. Was there a change in the same-store operating expense guidance for show? Because it looks like your same-store revenue drivers didn't change, but the NOI growth expectation increased? 
Tim McHugh: Yes. Thanks, Mike. It did. So our expense -- our overall expense that were underlying our initial budget were 6.5%. So our revised outlook today moving down to 6% and the change 50 basis points lower. 
Operator: Your next question comes from the line of John Pawlowski of Green Street. 
John Pawlowski: Nikhil, when your team's underwriting new skilled nursing investments, can you give me a sense for kind of a range of EBITDA reductions you're potentially contemplating in your underwriting for staff mandates [indiscernible]. 
Nikhil Chaudhri: Yes. I think, John, in the skilled business, we are essentially structured credit, short-duration providers of capital. And we're super focused on basis and [indiscernible] beyond that. And so at the basis we play out, it doesn't really have a meaningful impact just given the downside protection we have. I think this question is probably a better question for folks that play [indiscernible]. 
Operator: [Operator Instructions] Your next question comes from the line of Rich Anderson of Wedbush Securities. 
Richard Anderson: Great quarter. It keeps getting better and better. Shankh, used the word were abundant amount of paranoia in the company, which is good to hear. And I want to sort of tackle that side. I'm sure that you focus not only on the opportunities, which you're clearly doing but also on the potential risks that can materialize. And think of a company like Prologis obviously, like you and industry thought leader, but down 21% this year and trading near its 2-year low. How does Welltower anticipate potential pitfalls that may materialize. Some of the things that you're thinking about to manage around today, to your point, about deploying capital and making sure that it produces the end results that you're envisioning. 
 I'm thinking about 25% same-store NOI growth and how someone might say why is Wall Street getting rich at the expense of seniors? Is there a rent control conversation potentially out there? I'm just wondering some of the things that frame your paranoia and how you might respond to that? 
Shankh Mitra: Thank you, Rich. I said a healthy amount of paranoia and we do, and we're constantly thinking -- constantly looking over a shoulder to think what can go wrong. Now let's talk about numbers. The law of numbers are very unforgiving, right? When your NOI goes down by 50%, $100 become $50, you need to go up 100% to go back to just where you started, right? So while 25% NOI growth is impressive, let's just be honest, like I think I said this in an industry conference a few months ago that we haven't made any money over the last 10 years as an industry. So while year-over-year numbers are impressive. We got to understand the basic numbers. Just to go back to where we started as an industry. And if NOI was -- let's just say it was down 50%, somewhere down 40%, but somewhere on cut in half, and that's what will happen if you lose 20 points of occupancy you need to just go back 100% to go back to a high watermark.
 So if you put that in perspective, you realize that, obviously, the profitability of the industry remains pretty challenging. And you can see that in the margins. Margins remain significantly below where pre-COVID and frankly speaking, the peak of this business was not pre-COVID, was peak of the business was 2015 in last, call it, 1.5 decades and we're not even close to that. 
 So all these points that you're raising, which are very good points are very interrelated, right? If we can't get to a basic level of margins, that will obviously be driven by basic level of rates and occupancy, then investments, particularly new investment going back to Nick's question on development doesn't make any sense. You need to attract capital to invest in the existing community doesn't make any sense, right? So all of these things are very interrelated. 
 We're trying to do the best we can to provide a great level of service to our communities, our residents, our employees. And we also have to put in perspective like a lot of other types of operational real estate apartment stores, single-family rentals, which in the heydays have raised rents 20%,  25-plus percent our rent growth has been good, but it has never been sort of a double-digit plus, right? So it's always sort of hovered around 8%, 9%. That's purely driven by demand supply on one side as well as obviously an escalating cost environment. So we feel good about it. 
 We will see where we go from here as we are talking about this kind of rate growth. Also, I would like you to remember that just on a same employee basis, rates in the sort of cost of employees are up 30%, 40% in the last 5 years, right? So all of these things come into play. We're always looking over our shareholder. You can see how we're managing our balance sheet. Prologis is a terrific company. It will continue to be a terrific company regardless whether the stock is down in a given year or not. They've created a massive amount of value over the years. Stock goes up and down. That's not as managed as we control. Our responsibility is to manage the business and look for opportunities to create long-term value. Short term -- okay. 
Operator: And your next question comes from the line of Wes Golladay of Baird. 
Wesley Golladay: For that $19 billion opportunity over the next 2 years, is that a domestic opportunity only? And can you highlight what you're seeing in the U.K. and Canada? 
Shankh Mitra: Yes, that is a domestic number we're talking about. We are seeing similar situations in our international markets. And one of them where particularly that market is challenged is U.K. and we're seeing significant opportunities in the U.K. And I think I mentioned that. And I think you will see us many granular transactions in U.K. this year to take advantage of that. Lack of credit, real estate -- health care real estate credit in U.K. If it is possible to be worse than the U.S., which is very hard today, it's probably U.K. market, debt market is worse than that of U.K. today. I mean U.K. debt market is worse than that of U.S. today. 
Operator: With no further questions, that concludes today's Q&A session. We thank you for your attendance. This concludes today's conference call. You may now disconnect.